Operator: Welcome to Liberty Media Corporation's 2024 Third Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference will be recorded November 7th. I would now like to turn the call over to Shane Kleinstein, Senior Vice President of Investor Relations. Please go ahead.
Shane Kleinstein: Thank you, and good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Forms 10-K and 10-Q filed by Liberty Media with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in events, conditions, or circumstances on which any such statement is based. On today's call, we will discuss non-GAAP financial measures for Liberty Media, including adjusted OIBDA. The required definition and reconciliation for Liberty Media, Schedule 1, can be found at the end of the earnings press release issued today, which is available on our website. Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thank you. Good morning. Today speaking in the call, we will also have Formula One's President and CEO, Stefano Domenicali, and Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling. So let me start with a couple of corporate updates. As you may recall, we completed the LSXM-Siri merger on the 9th of September. I look forward to remaining involved as Board Chair and a shareholder at Siri, but Liberty's ties are cut. We also announced updates to our voting and governance at the Atlanta Braves Holdings, and we are transitioning services directly to the Atlanta team. They held their earnings call yesterday. This is the next step in their evolution as a standalone private company, and I want to thank all the Braves management team for their partnership over the years. It's been so fruitful. Now let me turn to the underlying businesses, beginning with the Formula One group and looking at it from some corporate update perspective. We refinanced the F1 date. The Term Loan B was refinanced at SOFR plus 200 bps. We expect to step down to SOFR plus 175 bps upon the deleveraging post the MotoGP transaction. We raised an incremental 850 Term Loan B and 150 million Term Loan A, commitments to fund that MotoGP transaction. All of that is deal contingent. We also issued 949 million FWONK shares, replacing the equity consideration to the sellers in the transaction, so we'll directly pay them cash. We issued that stock at only a 4% discount to the market price, and it was placed with long-term holders. Those transactions complete the necessary funding for our MotoGP acquisition, and we expect F1 leverage to be between 3.5 to 4 times, assuming a year-end close on that MotoGP deal. The F1 season itself remains highly competitive. Both the constructors' and drivers' championships are coming down to the final races. We've seen also similarly incredible financial performance at Formula One year-to-date, with revenue up 15% and adjusted OIBDA up 21%. We've seen double-digit growth across all of our revenue streams, boosted by two additional races. And we've benefited from new partners signed, contractual uplifts in our contracts, and the performance of F1 TV and our hospitality products. I know we've signed several new commercial agreements, which we begin next year. LVMH and AmEx were introduced to F1 through LVGP in terms of their relationship, but now they've become broader partners with F1. We feel that partners continue to be attracted to the growth of the sport in the EOS and our younger demographic, which has also grown. And correspondingly, we feel good about the pipeline for commercial activity in 2026. We all look forward to the LVGP in the coming weeks. We expect there will be another great spectacle for fans attending and watching at home. We will have a free daytime fan experience, which will bring energy and welcome local Las Vegas fans to F1. And we expect great entertainment, including Ludacris, Alesso, and OneRepublic. Now let me turn briefly and give you a MotoGP transaction update. We are making progress with the European Commission, which is our only remaining regulatory jurisdictional hurdle, and we continue to expect a year-end close. And looking at the underlying MotoGP business, the Valencia race was canceled due to the tragic flooding in that region. Our thoughts were with the entire community. We give credit to Carmelo and the management team at MotoGP for their quick and thoughtful response. They will pivot since the final race will be in Barcelona. It will be hosted there in solidarity with Valencia. And that will be the final race of the season. Various initiatives are also underway there to support relief efforts for Valencia during that weekend. MotoGP racing has continued to be great, with only 24 points separating the title fight participants. Attendance is trending well, with 2.9 million attendees year-to-date, which is plus 9% on leg-for-leg races. And six races have set all-time attendance records this year. And looking at the business updates, MotoGP extended its rights agreement with FIM, their regulator, until 2060. They've announced their 2025 MotoGP calendar with 22 races across 18 countries. And they expect to release a new brand identity post-season. We look forward to more exciting racing and Liberty's involvement. Turning briefly to Quint, as you may recall, Q3 is a seasonally light quarter. We've seen strong F1 experiences during the quarter, and we are also seeing positive movement across MotoGP products that they are selling. Profitability in the quarter was partially offset by softness at a different sporting event. And there was an agreement with a rights holder, which was subsequently terminated by a mutual agreement, which impacted our third quarter results. And just touching on Live Nation, they've had strong performance through the first half, despite fewer stadium concerts. They are set up very well for 2025, which will be a monster stadium year. But I won't comment further on results because LYB did not release their earnings until Tuesday. And with that, I'll turn it over to Brian for more on our financial results.
Brian Wendling: Thank you, Greg, and good morning, everyone. The merger of Liberty SiriusXM with SiriusXM closed on September 9th. Please note that SiriusXM Holdings is presented as a discontinued operation in Liberty's consolidated financial statements. Please also note that due to the timing of the Live Nation release of their reported results, as Greg mentioned, Liberty does not expect to file its 10-Q until Tuesday, November 12th. At quarter end, Formula One Group had attributed cash, liquid investments, and monetizable public holdings to $2.7 billion, which includes $1.4 billion of cash at F1 and $65 million of cash at Quint. Cash balance as of 930 also includes the proceeds from the previously mentioned FWONK share issuance. Total Formula One Group attributed principal amount of debt was $2.9 billion at quarter end, which includes $2.4 billion of debt at F1, leaving $530 million at the corporate level. F1's $500 million revolver is undrawn and their leverage at 930 was 1.1 times. During the quarter, Liberty entered into additional interest rate swaps, and as of quarter end, $2.2 billion of the $2.4 billion of F1 debt was at a fixed rate. In September, F1 refinanced its Term Loan B and extended the maturities of its debt facilities. The Term Loan A and revolving credit facility now mature in September 29, and the Term Loan B matures in September 2031. The margin on F1's Term Loan B was permanently reduced from 2.25% to 2% with a potential to step down to 1.75% if certain leverage is met after the MotoGP acquisition closes. In connection with the refinance, F1 secured incremental funding for the new MotoGP transaction, and all acquisition-related financing is now complete. Reminder that we also obtained commitments for an incremental €150 million Term Loan A and an upsized €100 million revolver at Dorna to be entered into subject to the transaction close. Turning to the F1 business, I'll make comments on Q3, but remind you that the business is best analyzed on an annual basis given the impact that both the race count and mix can have on quarterly results. During the third quarter, F1 recognized a lower proportion of season-based income with 7 out of 24 races for 29% occurring during the period compared to 8 out of 22 or 36% in the prior year period. Sponsorship revenue declined due to this lower pro rata revenue recognition. The recognition of sponsorship income varies based on the mix of races during the quarter, including the allocation of title sponsorship and other race-specific sponsorship packages. To a lesser extent, this also contributed to the sponsorship revenue decline for the third quarter. This was partially offset by revenue from new partners compared to the prior year period. The decline in pro rata recognition of Media rights revenue was partially offset by contractual fee increases and continued F1 TV growth. Race promotion revenue increased in the third quarter despite one less race being held due to the mix of events year over year with Azerbaijan this year compared to Austria and Japan last year. Other revenue increased due to the higher licensing revenue and revenue from third-party events at Grand Prix Plaza. Hospitality and experiences income decreased due to the mix of events in Q3, though note that the Paddock Club is seeing very strong growth year-to-date. Adjusted OIBDA grew in the quarter due to the lower pro rata recognition of team payments, partially offset by the expectation of increased team payments for the full year over 2023. Team payments represented 62.2% of pre-team adjusted OIBDA year-to-date through Q3 compared to 64.6% in the prior year. Reminder that Q2 and Q3 tend to have the highest percentage payout ratios based on the greater mix of European races. We continue to expect slight leverage on team payments for the full year ‘24 relative to our year-to-date payout as a percent of pre-team share OIBDA. It's consistent with the message we communicated on our Q2 call. Other costs of F1 revenue and SG&A should be viewed as a percent of total revenue. And looking on a year-to-date basis, the adjusted OIBDA margin improved from 24.4% to 25.8% through Q3 ‘24. Looking briefly at corporate and other results in the third quarter, corporate and other revenue was $70 million, which includes Quint results, and approximately $7 million of rental income related to the Las Vegas Grand Prix Plaza. Corporate and other adjusted OIBDA loss was $14 million and includes Grand Prix Plaza rental income, Quint results, and corporate expenses. Quint results in the third quarter were primarily driven by F1 experiences across the seven races held. Note that Q3 is a seasonally light quarter for Quint. Turning to the Liberty Live group, there's attributed cash of $388 million. There's $400 million of undrawn marginal loan capacity related to our Live Nation marginal loan. As of November 6, the value of the Live Nation stock held at Liberty Live Group was $8.8 billion. We have $1.2 billion in principal amount of debt against these holdings. In August, Liberty issued a redemption notice for all of its 0.5% Live Nation exchangeable debentures. Approximately $12 million of debentures were redeemed and settled in the third quarter, and the remainder were exchanged by holders in September but did not settle out until October. The $50 million remaining debentures that settled in October were funded with cash on hand. Liberty and F1 are in compliance with their debt covenants at quarter end. And with that, I'll turn it over to Stefano to discuss Formula One.
Stefano Domenicali: Thanks, Brian. It's been a fantastic season at F1. The competition across the grid is captivating odysseys in the stands and on the screen. We just completed a triple header in the Americas with amazing action exciting on and off the track. We have a three-way battle for the Constructor Championship between McLaren, Ferrari and Red Bull. And the Driver's Championship is still very alive as we head into the final races between Verstappen and Norris, following three events in Austin, Mexico and Brazil, in front of huge crowds. It has been great to see the variety of winners this year. Something that is thrilling fans and raises excitement and the participation for a special season in 2025. Looking at our engagement across the season, 5.8 million fans have attended Grand Prix through Brazil. Attendance is up season to date, with sell-out crowds on many races and seven races setting new attendance records including the British Grand Prix, which welcomed 480,000 fans over the weekend, the largest crowd for the season. In the third quarter, we have massive crowds of over 300,000 at the Hungarian, Belgian, Dutch and Italian Grand Prix. We have also had a strong path to play Brazil this season, with attendance up across almost all races and four teams sold out. We have been expanding and innovating our hospitality products like the F1 Garage and the Monaco Yacht to continue to provide premium experience to our fans. Our promoter partners are investing in improved infrastructure and enhanced fan experience with live entertainment and on-site activation. Better fan experience benefits the promoters and the broader F1 brand. In Silverstone Castle with Kings of Lyon and Stormzy drew crowds on Thursday and Friday evenings. In Singapore, they had a festival-style lineup with over 100 hours of live entertainment in addition to the on-track action, including concerts with the Kylie Minogue and Lenny Kravitz. In Austin, over 100,000 fans attended Eminem's performance. The sprint races are also successfully drawing incremental audiences. Attendance on Friday of sprint weekends are up approximately 30% compared to non-sprint weekends. TV viewership on sprint weekends is also, on average, 10% greater than non-sprint weekends. This content offers incremental benefits for our promoters, broadcast partners and sponsors with increased exposure. Beyond sprints, average viewership for race weekends through Singapore averaged 65 million on leader TV channels, with around 20 million of incremental viewers on digital channels including YouTube and F1 TV. Viewership on digital channels continued to increase year over year. Looking at few races in particular, the British Grand Prix was the most viewed European race ever in the UK and drew record viewership in the U.S. for the event. F1 TV subscriber growth continued to be robust, with subscribers up 10% year over year and particularly strong in the US market. We continue to innovate on digital platforms with creative ways for fans to experience the world of F1 Worldwide. For example, this season we introduced video episodes for our F1 Beyond the Grid podcast and watch time is up over 30% since this format was introduced. Social media followers grew 38% year over year to 94 million, in part due to the new platform launches like Threads and WhatsApp. Our WhatsApp partnership enables a closer direct relationship with fans through the messaging platform. On the F1 app we registered 6 million unique users in the third quarter and we are seeing continued growth on the platform, contributed to a younger audience and higher engagement. F1 Arcade was thrilled to open their Washington DC location on October 13th, the second venue in the U.S. Their opening party on October 9th had nearly 1,000 guests. The DC location is hosting a number of Grand Prix watch parties this season, including one last month for the Austin Grand Prix, and it is inviting fans for other F1-inspired gatherings like the live recording of the F1 Explained podcast during the Mexico Grand Prix. F1 Arcade is on track to open its Las Vegas location in the third quarter of 2025. The F1 exhibition reached the first stop of its global tour in London, opening on August 23rd with great reviews from visitors. The location is already seeing incredible demand with 135,000 tickets sold and as a result the exhibition stays at the location as being extended through the first quarter of 2025. Turning to commercial updates, we have had incredible momentum in 2024 and that continues this quarter. Most notably, our new partnership with LDMH. For 2025, an expanded agreement with American Express and Lenovo demonstrates our ability to bring in iconic brands and scale our partnership into broader and larger deals. LDMH first partnered with Formula One for the last year's inaugural Las Vegas Grand Prix with representation primarily from its Vulcan tequila brand. We will now welcome LDMH as a global partner under a groundbreaking 10-year deal beginning in 2025, which will see us partner with their iconic Maison Louis Vuitton, Moet NSC and Tag Heuer. We will provide additional details on specific activation by this brand early next year. American Express initially partnered with F1 in 2023 as a regional sponsor with branding and activation rights in the Americas. Beginning in 2025, we will expand our relationship globally, with American Express becoming an official partner encompassing Australia, Asia, Europe, the Americas and the Middle East. Similarly, we have announced that beginning in 2025, Lenovo will be expanded to a global partner from their previous official partner sponsorship. We are also actively adding partnerships in the new verticals. Santander joined as our official retail banking partner in a multi-year agreement beginning in 2025. This partnership supports Santander's open bank product, their digital bank that is particularly focused on U.S. market expansion. Formula One's success in the U.S. market was a key factor in securing the Santander partnership. One other area of focus gaining momentum is licensing. We were thrilled to announce recent partnerships with both LEGO and Mattel, both of which bring the world of F1 into our fans' day-to-day lives and extend our brand to new audiences. The LEGO product range features all F1 teams engaging content across LEGO digital platforms and facets of the F1 races weekend, including a Fan Zone activation. Our Mattel partnership kicked off this season with the release of a one-of-a-kind F1 car and the full range of Hot Wheels products we release next year. Looking to the rest of the season, we are weeks away from the second Las Vegas Grand Prix. The Las Vegas race has continued to serve as a testbed of innovation that we can leverage across the broader F1 calendar, including opportunities in the hospitality, tailored sponsorship, and licensing. Just last week, we announced the first-of-its-kind special merchandise collection for Las Vegas, ranging from a streetwear collaboration with a Venus brand to one-of-a-kind Vegas Golden Knights and Raiders 4. Since posting this merchandise collaboration on LVGP social channels, we've gathered over 1.2 million organic impressions across the post, with more than 93,000 engagements and 86,000 likes. This year's Las Vegas Grand Prix leverages learnings from last year across the whole event, including hospitality, logistics, ticketing, and more. We will continue to test, learn, and innovate in this year ahead. We are proud of our sustainability strategy and continue to make progress throughout the organization on our environmental, social, and governance efforts. In September, we made our first investment in sustainable aviation fuels, working with our partner DHL. These purchases cover approximately 11% of the estimated carbon flight emissions across the 2024 season, and flights powered by sustainable aviation fuels have an estimated 80% reduction in carbon emissions per flight. We look forward to more progress through the end of this year and into 2025. In closing, Formula One is in a great position, with strong financial growth and incredible on-track action. It's looking like the three-way battle for the constructor will come down to the final races. We thank our fans, teams, and partners for their support in this record season and look forward to more action to come. [Non-English] Full speed ahead. And now, I will turn the call back over to Greg. Thank you.
Greg Maffei: Thanks, Stefano and Brian. I want to clear up one thing I might have misspoken during our corporate upgrade. On the Braves, they are transitioning to a standalone public company. We look forward to seeing you on Thursday, November 14th for our Annual Investor Meeting. You can tune in virtually or join us in person at our new location, Jazz at Lincoln Center. If you plan to attend in person, please make sure to register by Monday, November 11th, as there will be no on-site registration. The link to register can be found on our website. John Mueller and I will be hosting our annual Q&A session. If you would like to submit questions in advance, you can email investorday@libertymedia.com. We appreciate your continued interest in Liberty Media. And Operator, with that, I'd like to open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of David Karnovsky with JP Morgan. Please proceed with your question.
David Karnovsky: Hey, thanks for the question. First for Greg or Stefano, just on Concord, any potential updates you can provide there on progress, tone of talks, or expected timing? And then a second one for Brian. Just on the team payment accrual in the quarter or even year-to-date, the figures do imply a lower full-year figure relative to what you would give in a Q1 or Q2. I just wanted to see if there's anything specific to call out in your quarter that shifted as far as your assumptions on pre-team profit for the year. Thank you.
Greg Maffei: Stefano, I'll let you take a first cut at the Concord.
Stefano Domenicali: Yeah, thank you, Greg. Thanks, David. I mean, as we said, first of all, it's very important to remember that we have still plenty of time under the existing Concord, so there is no urgent rush. Conversations are progressing very well. And as we said before, very, very positive, because at this moment the ecosystem is very solid. And also all the teams and all the levels to quarter have had a huge benefit from everyone in this moment. So the financial security for the future and stability that we have today it's underlining what we are preparing. And as soon as we have everything ready, of course, we will inform everyone. But as always, as I said, we want to do the right thing and consider there's no rush. Everything is progressing well, as we said, and looking forward to confirming to you when we're going to announce something concrete.
Greg Maffei: So I would just add that, to Stefano's point, the most important thing for everybody, including ourselves and the teams, is to get it right. And so we're progressing at a good pace with the expectation that everyone will sign with glee on their face.
Brian Wendling: Yeah, and David, on the team payments, as you rightly point out, they've come down just a little bit on a per race basis. I think that that represents some conservatism towards Vegas, because really that's the last remaining uncontracted revenue stream that we have for the year. And it largely reflects typical year two trends that promoters see. So that would be the primary reason.
David Karnovsky: Thank you.
Operator: Our next question comes from the line of Kutgun Maral with Evercore ISI. Please proceed with your question.
Kutgun Maral: Good morning, and thanks for taking the question. Just on Formula One sponsorship, clearly there's a lot of momentum there. You've announced a number of new and expanded agreements. Seems like 2025 is going to be a banner year. And, Greg, I think you commented that you feel good about the pipeline for commercial activity in 2026 as well. Can you help us just think about how meaningful the sponsorship revenue growth outlook can be in the coming years? Thank you.
Greg Maffei: I'll take a first cut if it's okay, Stefano.
Stefano Domenicali: Yeah, absolutely.
Greg Maffei: Look, you've seen the announcements here that are mostly ‘25 related. It's unusual. One would not expect to be making announcements yet about ‘26 related deals. But we have a lot of activity going on around potential sponsorship, around licensing and other activities. So it's very hard. You're still quite a ways out from those. But I feel good about the progress. I don't know if you have anything, Stefano.
Stefano Domenicali: No, I would say for sure. And, as always, we need to remember we were just a couple of years ago in terms of quantity and also quality of our partnership. Now we have grown significantly in terms of quantity. And, of course, now the time is really to check in terms of restructuring the deals in terms of global, regional, official partners, due to the fact that we have a strong interest in our market so far. So there are for sure other that we will exploit in the future. But the only thing that I can confirm, as Greg was mentioning, is really, we are really bringing in the interest that we are having from partners that are high, high, high value in the market. And that will be another leverage because through a B2B business growth within the relationship we can create with all the partners, we can create even more interest in our platform. So, as I said, look back and see where we were and look where we are. And I think that the future will be very positive again.
Greg Maffei: Yeah, and one thing I would add, almost more towards David's question, that the sponsorship that we've announced for 2025, you've also seen, that's all moving into ‘25. So any expectations that we had for those new agreements for 2024 also have that impact on team payment.
Kutgun Maral: Perfect. Thank you.
Operator: Thank you. Our next question comes from the line of Stephen Laszczyk with Goldman Sachs. Please proceed with your question.
Stephen Laszczyk: Hey, great. Thanks for taking the questions. Two on Formula 1, maybe first for Greg on Media rights, just curious for your latest thoughts on the sports media rights landscape heading into the U.S. renewal next year and maybe how you're approaching your negotiations with ESPN? And then second on Vegas, Brian, you mentioned the Las Vegas Grand Prix being the last uncontracted piece of the puzzle here. Just curious if there's anything more you can say on demand for Vegas heading into the final few weeks and any expectations around revenue and profitability for the event this year. Thank you.
Brian Wendling: Stephen, thanks for the question. I'll start on the Media side. As I think is well known, we have a partnership with ESPN that runs to the end of ‘25. It would be not atypical that there is some negotiating period with them. I'm obviously not going to disclose the specifics. ESPN has been a great partner. We will look to see what we can do with them, but there's also a lot of other interest from partners, and we'll try and construct the deal that manages to bring both the best economic opportunity for F1, but even more importantly, perhaps, expose our fans the best experience in a logical way across as much breadth as possible. So, as always, we're going to play between economics and reach and hopefully come up with the best result for our F1 fans and ourselves. I'll let Renee talk a little bit about Las Vegas.
Renee Wilm: Thanks, Greg. Maybe we can just take a step back, focus on what we've been working on here in year two. Obviously, year one, we were very much focused on the quality of the fan experience. Year two has been a lot of focus around cost structure and optimizing our product ladder. We do expect that to continue going into years three and beyond. We made a number of improvements coming into this year, which have allowed us to continue to be dynamic in adjusting products and pricing based on real-time feedback we're receiving from the market. We would note the all-in cost of a Vegas race weekend has come into line with the other U.S. races, and we would refer you to the commentary from our hotel partners, Wynn and Caesars, regarding the continued strength of F1. In terms of recent activity, as expected, we are seeing an uptick in traffic and conversion rates around ticket sales, and we expect that to continue as we get closer to the race weekend. We are, of course, benefiting from the very competitive championship this year, and we have seen success with our recent promotions, including the Lewis Hamilton package and some special offerings that we've run in partnership with our sponsors, Timo and AmEx. We still have room to grow on ticket sales, but we are very excited to see year two come together over the next couple of weeks. And, of course, we remain very positive on the benefits that Vegas is providing to the broader ecosystem of Formula One, including the LVMH deal, American Express, and getting back to the media rights renewal. We're looking to see the benefit of Vegas next year as well when Greg starts those discussions.
Stephen Laszczyk: That's great. Thank you both.
Operator: Thank you. Our next question comes from the line of Ben Swinburne with Morgan Stanley. Please proceed with your question.
Ben Swinburne: Thanks. Good morning. I'm not sure, Greg, how much you would be willing to comment, but Live Nation stock has been quite strong the last few months, some of that, I think, in anticipation, correctly, I guess, of the election outcome. What do you think a Republican DOJ means for the range of outcomes for the lawsuit against Live Nation and its ability to navigate that successfully from a shareholder point of view? And then, at the risk of beating team payments to death, Brian, I think you've shown over 200 basis points of leverage year to date. How are you thinking about the full year versus that? And how much of a swing factor is Las Vegas? Is that sort of a larger than normal variable when you think about your business as we think about the full year? Thanks so much.
Greg Maffei: Ben, it was nice of you to set up and acknowledge it would be very difficult for me to comment, and I think you caught that. But Live Nation continues to prosper as a business and continue to believe it serves customers well, and there is no basis for the lawsuit, and I don't think that's going to change. Their view is not going to change regardless of the administration. Brian?
Brian Wendling: Yeah, on team payments, like we said last quarter, Ben, slight leverage, I think de minimis might have been the words I used when we were at 61.9% at year to date Q2, so we're going to stick with that. In terms of Vegas being a swing factor, I mean, if you think about our business, most of the revenues are contracted, most of the costs are contracted. The two big swing factors in any given year are the sponsorship go-get and then Vegas ticket sales because those have the highest volatility. So, yeah, as you get closer to the end of the year, you start to get more clarity on both of those, although Vegas being a last-minute market, as we've pointed out many times, there's lots of work to be done as you enter Q4. So it can be a swing factor, but we continue to be optimistic here.
Ben Swinburne: Thanks a lot.
Operator: Thank you. Our next question comes from Ryan Cardiff with UBS. Please proceed with your question.
Ryan Cardiff: Great. Thank you. Not to look too far ahead, but I guess how are you thinking about the opportunity for race promotion and the race calendar in 2026? Is that a year when we could start to see some new venues added to the calendar and just more broadly how you're thinking about your positioning for renewals given the elevated attendance you've seen over the past few years? Thanks.
Greg Maffei: Stefano, do you want to take a cut?
Stefano Domenicali: Okay. Thanks, Greg. Of course, ‘26 race promotion, as you know, we have Madrid that will be part of the calendar. We have long-term deals on the other side, as you know, that is represented the vast majority of our situation today, and these allow us, of course, to work with them in order to promote better quality, to make sure that what we want to offer to our customers to level is the highest standard. In ‘26 and further beyond, of course, we have some news to share very, very soon with regard to the possibility in the midterm to have some rotational European Grand Prix and some other new options coming later. And this is something that, of course, we will clarify in the due course. It is true that we have a large demand of even new possible venues that want to come in, and our choice will be always balanced between the right economical benefits that we can have as a system and also to leverage in the growth of the market that we can see potential will be beneficial for us to grow even further our business. So it's something that we are managing in the right way. And thank God today, we have a quality problem to handle. That was not the case just a couple of years ago.
Ryan Cardiff: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Bryan Kraft with Deutsche Bank. Please proceed with your question.
Bryan Kraft: Hi. Good morning. And two, if I could, first on media rights. Are there other major markets in the Americas that have media rights contracts coming up for renewal around the same time as the U.S.? And might we consequently see in America's media rights deal rather than just the U.S. contract this time around? And then also related to that, how has what you value from your U.S. media partner changed since the renewal with ESPN given just how streaming has become such a larger part of the business now? And then just separately sort of a follow-up on Vegas, maybe to ask a little more bluntly, I mean, it sounds like promotion revenue is clearly going to be up, but ticket prices are going to be down. So probably overall ticket revenue is going to be down. Is that a fair interpretation of what Renee was going through before? Thank you.
Greg Maffei: So if it's okay, Stefano, I'll take a cut on the media. Look, we would love to find a partner who would take on more markets. That's always very interesting and make ease of perhaps for them and us. There are no huge renewals in the Americas that make it logical, not to say it wouldn't happen, but I don't think it would be an enormous economic swing in any case if we bundled with somebody for all the Americas. We certainly have had rumors of larger deals, and in some cases we certainly do have regional deals, but I'm not sure that's going to work for the Americas that way, that there's some partner who is going to take all of it that way. As far as streaming, obviously we see the rise of streaming. We've noticed across a couple of our businesses, we certainly notice. The reality is we have a great stream product in F1 TV ourselves, which has shown tremendous growth, and we would look to consider whether a media partner how we interacted with them on both a linear side if it existed and the streaming side and how our F1 TV fit in. But clearly streaming is going to be a more major component of all sports rights packages going forward. Renee, do you want to comment?
Bryan Kraft: Thank you. And on Vegas, or sorry, go ahead.
Renee Wilm: Sure, yes, happy to. So I guess just to reiterate, we generally do not give race-specific economics, but with regard to your question on ticket revenue, aggregate ticket revenue will be down from what we originally budgeted in Q1. However, throughout the course of ‘24, we have also continued to reduce costs from what we budgeted in Q1. So I would say that we're working hard to focus on getting the best profitability that we can from Vegas, and again we would refer you to the broader benefit that it does bring to the F1 ecosystem.
Bryan Kraft: Thank you.
Operator: Thank you. Our next question comes from the line of David Joyce with Seaport Research Partners. Please proceed with your question.
David Joyce: Thank you. Two little questions, please. One was just a little bit more on the media rights. Just given that some of your recent deals have been extended beyond the typical kind of three-year period we used to see, and other sports leagues have done that as well, just wondering how you're thinking about your objectives with these upcoming rights deals? And then the second question is on just a little one on the accounting of how you'll be recognizing the F1 movie next year? Thanks.
Greg Maffei: So I think on the media rights deals I outlined some of our goals in terms of growing reach and making it a great experience for our fans, as well as payments to us. So I think all of those goals remain the same. We've chosen market by market longer or shorter deals based on where we stood in the market, what our growth was, what our partners were doing, and what we wanted to go. And obviously one of the reasons we cut a shorter deal in the U.S. last time is we were confident and really betting on ourselves that we would get a larger renewal down the road. That did work the first time we did a three-year deal. I'm optimistic it will work again. I'm not projecting whether the deal will be shorter or longer. I would note it's likely, particularly if you went to another partner, which I'm not sure that's going to happen. You probably would cut a longer deal just because that partner would want to have some period to grow into it and work together. But that's just observing on the media market. That's not projecting what we will or will not do on the U.S. And on the F1 movie, we've been paid in 2023 and 2024 for their use of the paddock building and having access to certain races. I think going forward the revenues that you would expect there would be pretty small.
David Joyce: Okay. Thank you.
Operator: Our next question comes from the line of Barton Crockett with Rosenblatt Securities. Please proceed with your question.
Barton Crockett: Okay, great. Thanks for taking the question. I guess a couple if I can. One is turning to Vegas, looking beyond the race. I know there's been some hope that the off-season could be monetized at Vegas and that could help maybe the margin profile. And I was just wondering if you could give us an update of your progress there. Are you really doing anything meaningful in the off-season? You mentioned the film. I'm just wondering if there's anything else meaningful happening.
Renee Wilm: Sure. So we are working hard to launch the year-round business beyond just the event conference segment. Beginning in, I'd say, late Q1 of ‘25, it's going to be actually very much focused around educating new fans, bringing the new fans deeper into the sport. Obviously Las Vegas is a destination. And we want to try to leverage that and bring these visitors to learn more about Formula One, coming deeper into the U.S. culture. There will be a carding business there. There will also be a fun, interactive experience, sort of 3D, 4D type offering, which will also include a little bit of the legacy F1 exhibition type educational experience as well. And then we will be looking to package those experiences to enhance the event conference space. So a lot more to come, and we hope to be giving more specifics around that business during race week.
Barton Crockett: Okay. And then, you know, if I could just follow up also on sponsorships. Just to be clear, with all these announcements starting in 2025, it sounds like 2025 is going to be a strong year for sponsorship. But I was just wondering if you could comment on that more directly. Is that what we're seeing?
Greg Maffei: Yes.
Barton Crockett: Okay, great. Thank you.
Greg Maffei: It's going to be a good year, Barton, you called it correctly.
Barton Crockett: Okay. Thank you.
Operator: Thank you. Ladies and gentlemen, our final question this morning comes from the line of Jonathan Navarrete with TD Cowen. Please proceed with your question.
Jonathan Navarrete: Hey, good morning. Just my question is around the new markets and expansion. Are there any plans to expand the race calendar, especially in emerging markets? And what I'm trying to get at is, I'm trying to get a sense of what your approach to balancing market expansion while maintaining the exclusivity or the allure of Formula 1?
Greg Maffei: Stefano, do you want to talk about expanding race calendar? I think I know the answer, but I'll let you go off on it.
Stefano Domenicali: No, thanks, Greg, I would say. As we said, we believe that the balance we have in terms of numbers is the right one. So 24 is the balance number that we feel is the right to keep exactly what you say, Jonathan. And I do believe that all the propositions that are coming on our table is just giving us the possibility to make even the better choice for our future. So, as always, we need to be balanced, knowing that we cannot follow only the pure direct financial proposition because that is different from region to region, but it's up to us to propose to our stakeholders the right choice. And I think that we are in a good momentum to make sure that the strategy for the future is even stronger. And that's why we are so confident about the fact that this will help to enhance our platform on the sport, on social, and business perspective.
Jonathan Navarrete: Thank you.
Greg Maffei: So I think that, operator, we're done on questions, and we're done with the conference today. As I mentioned, we look forward to seeing many of you either virtually or in person next week at our Investor Day. Thanks for joining and your interest in Liberty Media.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.